Operator: Good day, ladies and gentlemen, and welcome to the Star Gas Fiscal 2013 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Dan Donovan, Chief Executive Officer. Sir, you may begin.
Dan Donovan: Okay. Thanks Kim. Good morning and thank you for joining us today. With me today as always Star’s Chief Financial Officer, Rich Ambury and our Chief Operating Officer, Steve Goldman. After my brief remarks, Rich will review the first quarter ended December 31, 2012. This will be followed by some comments from Steve regarding operating results, and then we’ll be happy to take your questions. But before we begin, Chris Witty of our Investor Relations firm, Darrow Associates, will read the Safe Harbor statement. Please, Chris, go ahead.
Chris Witty: Thanks Dan and good morning. This conference call may include forward-looking statements that represent the partnership’s expectations and beliefs concerning future events that involve risks and uncertainties and may cause the partnership’s actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the partnership believes that the expectations reflected in such forward-looking statements are reasonable, they can’t give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the partnership’s expectations are disclosed in this conference call and in the partnership’s Annual Report and Form 10-K for the fiscal year ended September 30, 2012. All subsequent written and oral forward-looking statements attributable to the partnership or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the partnership undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise after the date of this conference call. I’d now like to turn the call back over to Dan Donovan. Dan?
Dan Donovan: Okay. Thanks Chris. First let me start with a few general comments about the weather. While warmer than normal by 7%, temperatures in the first quarter was 16% colder than last year, a welcome development. We posted 12% higher revenues driven both by the colder weather and by storm-related increases in motor fuel sales and also by service and installation revenue as we responded to request from both the new and current customers. Unfortunately, oil prices continue to remain high. This year’s average spot price was higher than the period ended December 31, 2011, by $0.09 per gallon or 3%. And during the past three fiscal years, the first quarter’s average spot price for heating oil has increased by a total of $1.08 per gallon or 55%. In other words, a gallon of heating oil that cost us $1.97 in 2010 cost $3.05 a gallon at the end of the quarter and today it’s even higher at $3.20 a gallon. On a more positive note, our service base grew organically by 1,700 accounts this quarter as customer gains increased slightly while losses decreased by 2,200 accounts. Most of the decline in lost accounts was attributable to fuel losses due to price and credit terms. The major storm experienced in our areas of operation definitely impacted results in several ways and it is expected that ongoing effects will continue to be felt in the future. No acquisitions were closed in the first quarter primarily in our opinion due to the after effects of Sandy. While we did discuss model and analyze several potential purchases, the primary focus for both us and any sell was assisting home owners in their recovery from the storm. We continue to work on several possibilities and are hopeful for great acquisition activity in the coming months. I’d like to make a few comments about our distribution. As you know, Star recently declared its quarterly distribution of $0.0775 per unit for the fiscal 2013 first quarter. I want our investors to know that the payment of distribution is the topic of discussion at each and every board meeting when we evaluate various uses of available cash. As we have stated all along, our priorities have been and continued to be to ensure that we retained sufficient operating capitals to run our business, support our strategy of growing through acquisitions and we do asses raising distribution levels for our unit holders. However, given that our results are so seasonally driven, the board believes that any increase in distributions paid going forward is better evaluated once the bulk of a heating season is behind us. This just makes good business sense. With that I’ll turn the call over to Rich Ambury to provide some comments on the first quarter results. Rich?
Rich Ambury: Thanks Dan and good morning, everyone. For the quarter, our volume increased by 6 million gallons or 6.6% as the impact from acquisition and 15.8% colder temperatures is offset by net customer attrition, the impact of storm Sandy and conservation. For several weeks following Sandy, there were widespread powder outages which affected a number of our customers and they could not run their heating equipment. Total gross profit for the quarter did rise by 10% or $10 million, largely due to colder temperatures, acquisitions and reductions we have made in our service costs over the last 12 months. In addition, to a certain extent, we saw some positive impact from Sandy on gross profits. Although heating oil sales were negatively affected due to the powder outages I just mentioned, we sold more diesel to power generators and our service and installation sales rose as we perform more service work and installed more equipment than normal at this time of year. Delivery in branch expenses increased by $600,000 or less than 1% even as total delivered volume increased by 7.4%. Our ongoing efforts that are controlling cost was the driver of this modest uptick in expense when compared to the volume increase. Star’s operating income rose by $8.9 million to $17.5 million as $10 million increase in gross profit was slightly reduced by an unfavorable non-cash change in the fair value of derivates of $800,000 at higher depreciation and amortization expense of $700,000. We posted net income for the quarter of $9.7 million or $6.8 million more than in the prior year period. Adjusted EBITDA increased by $10.5 million or 54% to $29.8 million as the impact of the colder temperatures, acquisitions and the favorable impact of Sandy our motor fuel sale and service and installation revenue more than offset the volume decline in the base business attributable to net customer attrition and other factors. Now moving over to our balance sheet for a second. At the end of the quarter we had borrowed $36.7 million from our bank group and had availability of $154 million. As a reminder, both our borrowings in our availability typically peaked during the winter because of our increases in accounts receivable. As Dan mentioned in his remarks regarding Star’s quarterly distribution please keep in mind these seasonal factors, while we usually payoff our borrowings in this summer, our availability also declines and it is in the spring and summer that our availability is at its lowest level. And now I would like to turn the call over to Steve for some comments on our operations.
Steve Goldman: Thank you, Rich, and good morning, everyone. As I look back on this past quarter and few days in fiscal first quarter, it reminds me that on one of the keys to being successful is being completely prepared even for the unexpected. This year the Star winter was filled with its own surprises. Just as we began our planned escalation of sapping for normal winter weather, we were forced to shift our focus dramatically due to storm Sandy. As we mentioned on our Q4 call, we were dealing with some extreme circumstances with some areas were colder than normal than other regions where the devastation caused the complete drop in demand. And at the same time, we experienced unimaginable service and installations requests. Although we faced our own power outages as well as severe fuel shortages and as if these were – these conditions weren’t fair enough, and the fact that a large proportion of our employees were in some way directly impacted by the storm up to and including losing their own homes. I really struggled to find adequate words to describe the pride we took in the performance of people of our people this next quarter. With every challenge and every seemingly insurmountable obstacle came at great response, characterized by incredible team work and total dedication to our customers and the communities we serve. There were renewable instances of employees going above and beyond the call of duty, and I’m sure our employees and customers will be telling those stories for a very, very longtime to come. And so as we entered December and thought things may finally return to normal, we were confronted with even more challenges. This time in the form of warmer than expected weather and a large hangover of delayed service demand carried over from November. Once again, I’d say our performance was solid. We’ve spoken about how from time to time a full service business like ours needs the right weather to make customers understand and appreciate what we offer. We believe we make good use of conditions that we operated through this past quarter. While we performed very well given everything that was handed to us, we also faced many other operational challenges on a daily basis. Even in markets not affected by the storm, we started focus on conditions that impacted our camp base and our oil sales. Many areas saw the impact of high prices and erratic temperatures, feeding conservation, and to some extent, accelerated conversions to natural gas. We also were challenged due to the large drain of resources caused by the storm to keep our focus on our newer products such as propane in plumbing. But even with all this, we not only achieved what we planned for the quarter, but we saw some new opportunities as well including the sale of generators for emergency home power. While we did not complete any acquisitions, we have as always continued discussions with several businesses and in some case, we worked with those companies during the challenging aftermath of Sandy, hopefully creating a bond, which eventually will lead to an acquisition. In conclusion, I would just like to say thank you again to all our employees who made this a very well executed quarter in nearly every way. Although our staff faced enormous challenges, they never forgot what we have been striving for all these years, which is excellent customer service. We believe many customers have to see they’re real different that true dedication and customer service makes and we hope we can build on those relationships going forward. With that, I’ll turn the call back over to Dan.
Dan Donovan: Okay, Steve, thanks. At this time, we’ll be pleased to take any questions you may have. Kim, could you please open the phone lines for questions?
Operator: Certainly. (Operator Instructions) Our first question comes from Michael Prouting of 10K Capital. Your line is now open.
Michael Prouting – 10K Capital: Yeah. Good morning, guys, and congratulations on great operating results in a very tough environment. Just two questions this morning. One is, I am just curious in your other bucket as far as impact on year-over-year volumes is concerned. I am wondering if you can just give some insight into some of the major influences on that either bucket and then the other question I had was on acquisitions, just curious what you might be seeing out there in terms of both valuations as well as potentially the number and size of potential acquisition opportunities? Thanks.
Dan Donovan: Michael, just to answer the acquisition first, we are not seeing too much right now. We normally don’t. We are at the end of the biggest month of the year, the coldest month of the year going into the next coldest month of the year, and most of the people will want to talk to us, so have started talking with us. We are not going to really finalize anything until later on in the heating season. So, it’s really kind of hot to give you a better feel other than that that we continue to talk with a lot of people, give them an idea about what their business might be worth. And in some cases, we actually made model and analyze up an acquisition, but this is the time of the year when it’s probably the least activity.
Rich Ambury: And the majority of the change in our volume I guess another petroleum product is what we’re looking at is due to higher diesel sales for power generators.
Michael Prouting – 10K Capital: Thank you, Rich. Just on the last point, what I was just refereeing to is in the Q you always give a reconciliation between prior year volumes and current year volumes and in that reconciliation, you’ve got a negative 8.6%. And I’m just wondering what’s in that negative bucket?
Rich Ambury: That’s additional conservation that we saw from last year to this year, as well as through certain extent the impact of storm Sandy. As I mentioned, folks in our area were without power for upwards two weeks and if you don’t have any power, you can’t power your equipment or burn heating oil. So even though it was cold outside for those first two weeks of November and we accumulate it three days, we basically lost that business because their equipment was not functioning.
Michael Prouting – 10K Capital: Okay. That makes perfect sense. I just want to understand whether to the extent to which that was one time misuse or to the extent to which that might be continuing going forward. And just back on the acquisitions, understanding of course the seasonality of those, I guess the thing I was really trying to get was – but I think this – but at some point, it seems likely that you’ll see a larger flow of cotangential acquisition opportunity both from people seeking liquidity and I just putting that in other way is people have been in the business for many years, looking to retire what have you, understanding that currently seasonality-wise there aren’t going to be a lot of deals around. I guess I was just more wondering the extent which you might have color on as you exit the heating season just what you might likely is seeing as far as acquisition opportunities?
Dan Donovan: We are always optimistic that we’re going to see a lot of activity and we usually do. I mean we look at 100s and 100s of acquisitions and you know how many we do, so a lot of times the reality of the marketplace hits these potential sellers who may want to retire and they see what their business may actually be worth for the times were in and they put it off while they go forward. It’s hard for us to predict how many people this year will be looking at selling their business. Last year, we had a very warm year. So, you would have thought that, okay maybe there will be more activity. But some sellers are thinking that I want to wait for a good year before I sell my business. So, this maybe a year that we see a little bit of an uptick in activity at least we are hoping so and we are remaining optimistic about that.
Rich Ambury: Michael, I’d also say that the current crop of businesses that basically we are competing with are the next generation in a lot of cases of owners and families that have withstood the economic forces for the last three to four years and they will sell on queuing basis based on their combination of ability to actually retire, going to another interest positively pass it on to someone else in the family. So, I think it’s a – we get a little piece of that every year of those that fit the idea of actually selling the business to someone else with their personal plans and ability to either do something else or not work at all and actually retire. So, I think the level of activity we have seen for the last several years is probably going to be very similar what we will see for at least the very near future. There is no foreseeable landslide of business coming up for sale.
Michael Prouting – 10K Capital: Okay, great. Yeah, thanks for taking my questions. And that’s very helpful.
Operator: Thank you. (Operator Instructions) Our next question comes from Andrew Matthews, a private investor. Your line is now open.
Andrew Matthews – Private Investor: Yeah. Can you just explain and I’m not as experienced on this balance sheets as some, but how you have a negative – I don’t have it right in front of me, but on the balance sheet you have a negative 2.78 and 2.75, can you explain that on a net tangible assets?
Dan Donovan: Sure. Yeah, with – when we bought in the market, they are made up of trucks and some tanks, but a good portion of what we buy are customer list. And on our balance sheet, we allocate a portion of those intangibles if you will to customer list, which fall in intangible and then GAAP also requires us to make a cut between what our customer lists and what our goodwill, what is goodwill. So most of the intangibles that we have is our frozen goodwill which remains on the balance sheet as well as intangibles which are our customer list. Now we write the customer list off for book purpose over several years, but all purchased intangibles that we buy are written off over 15 years for tax purposes. Is that answer your question?
Andrew Matthews – Private Investor: Yeah.
Operator: Thank you. (Operator Instructions) And we do have a follow-up from Michael Prouting of 10K Capital. Your line is now open.
Michael Prouting – 10K Capital: Yes, sorry guys. I can resist, just a follow up question actually on the last question. To the extent to which you do unit repurchases, that also reduces stated book value right? So people looking to value – book value would need to be aware of the fact that you put back substantial amount of units to return?
Dan Donovan: Right. We have substantial amount of units, yes.
Operator: Thank you. And I’m not showing any further questions on the phone lines. I’d like to turn the call back to Mr. Jonathan for any further remarks.
Dan Donovan: Okay, thanks Kim. Well I just want to thank everybody for taking the time for joining us today and also obviously your ongoing interest in Star Gas and we were hoping for few more cold months and we look forward to sharing our second quarter results with you in May. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.